Operator: Hello, and welcome to the BIC's Q3 and 9 months 2024 results. My name is Laura, and I will be your coordinator for today's event. Please note, this call is being recorded. [Operator Instructions] I will now leave the floor to Brice Paris, your host of the day.
Brice Paris: Good morning, and welcome to BIC's third quarter and 9 Months 2024 Results Call. I am, Brice Paris, Head of Investor Relations. We are Kishi today with Gonzalve Bich, our CEO; and Chad Spooner, our CFO. This call is being recorded, and the replay will be available on our website along with the presentation and press release. We'll start with the usual presentation followed by a Q&A session. First, please take the time to read the disclaimer at the beginning of the presentation. With that, I give the floor to Gonzalve.
Gonzalve Bich: Welcome, everyone, and thank you for joining us for BIC's Third Quarter and 9-Month Results Conference Call. I'll begin with a summary of our performance in the third quarter, then Chad will take you through our detailed financial results. I'll conclude with our outlook for the year. Today, I have four key messages I want you to walk away with. First, the resilience of our operating model and the actions we took in the first half led to strong margins and free cash flow generation in the third quarter. As a result, I'm pleased to announce that we're upgrading our full year adjusted EBIT margin outlook for 2024. Second, we saw a strong sequential improvement in North America net sales performance during the third quarter, particularly in our U.S. Lighter business. Third, we continue to perform strongly across the rest of the group with multiple growth initiatives contributing to net sales growth of more than 5% year-to-date. And finally, we successfully gained market share during the Back-to-School season in our key geographies. However, the challenging consumer environment affected overall market trends. This, combined with the soft performance of our Skin Creative and Digital Writing businesses negatively impacted our growth in Q3. That said, we must remain cautious. The overall trading environment and economic outlooks in North America and Europe remain highly uncertain, contributing to ongoing softness in global consumption. Let's dive a little deeper into each of these takeaways. To start, despite a trading environment that did not improve during the quarter, we experienced an increase in our net sales growth, up 110 basis points versus the second quarter at 0.2% at constant currency if we exclude Argentina. This mainly came from solid performance in Blade Excellence and a return to growth in our Flame for Life division. When it comes to profitability, the implementation of our Horizon plan and our cost control initiatives enabled us to deliver a rock solid adjusted EBIT margin of 18.9% in Q3, a growth of 370 basis points year-on-year. Chad will go into more details on the main drivers in a moment. This strong performance leads us to raise our full year margin outlook and we now expect an adjusted EBIT margin approaching 15.5% in 2024. In North America, we saw a 720 basis point improvement in net sales growth compared to the second quarter, driven by good performance in Blade Excellence and gradual progress in our Lighters business. Since the end of June, the U.S. lighter market decline stabilized. On a year-to-date basis, the market was down 5.1% in value. However, we continue to outperform the market and our added value products like decors, EZ Reach and our new EZ Load refillable utility lighter successfully drove market share gains. Additionally, growth across the rest of the group remains strong year-to-date as we continue to execute our Horizon strategy. In Europe, we delivered mid-single-digit growth in both our Flame for Life and Blade Excellence divisions during the third quarter. In Flame for Life, growth was boosted by continued geographic expansion in Eastern Europe with further distribution gains. Our EZ Reach lighter continued to perform well, achieving high single-digit net sales growth versus last year, notably across Western Europe. In Shavers, our value for money proposition continued to resonate in an inflationary environment driven by the success of added-value products like BIC Click Soleil and Hybrid Flex. This momentum solidified our position as the #2 player in the European wet shave market. In Latin America, our Blade Excellence division led the way, achieving double-digit growth in net sales, bolstered by the success of our trade-up strategy with products like BIC Comfort 3 Shaver and the Soleil range. Similarly, we recorded double-digit net sales growth in the Middle East and Africa region, driven by strong performance in human expression. That said, we continue to face headwinds from declining consumption trends across all geographies. Market trends during the Back-to-School season proved challenging in key geographies, leading to lower replenishment orders from retailers during the third quarter. However, I'm proud of our team's solid commercial execution as we managed to gain share in declining markets during the season. In Europe, our value for money positioning has proven effective, particularly in France, where we achieved market share gains of 130 basis points in value. This success was driven by strong in-store visibility and an impactful Write More, Spend Less advertising campaign. In the U.S. despite a decline in consumer spending, we outperformed the market in core stationary segments like highlighters, mechanical pencils and correction products. We also successfully launched our new advertising campaign featuring American Singer, Charlie Puth to promote our iconic 4-Color Pen. Overall, the campaign generated remarkable results across print, broadcast and social media with more than 4.2 billion impressions. Our Human Expression division was also impacted by the underperformance of our Skin Creative and Digital Writing segments, worsened by the challenging consumer environment. Nevertheless, we remain confident in the long-term growth prospects of these businesses. To conclude, we demonstrated remarkable resilience in the third quarter. While we recognize the complexity of the current global geopolitical and macroeconomic landscape, we remain confident in our ability to navigate these challenges. With that, I'll now turn it over to Chad, who will review our financial results.
Chad Spooner: Thanks, Gonzalve. Let's begin with an overview of our consolidated results for the third quarter and 9 months of 2024 on Slide 6. In Q3, net sales were EUR 540 million, up 0.2% at constant currency, excluding Argentina. Net sales for the first 9 months were approximately EUR 1.7 billion, down 0.3% at constant currency, excluding Argentina. Q3 adjusted EBIT was EUR 102 million, resulting in a margin of 18.9%, a 370 basis point increase versus last year. For the first 9 months, adjusted EBIT totaled EUR 272 million, a 16.2% margin, which was an increase of 120 basis points versus last year. I'll give more details on the drivers later in my presentation. Q3 adjusted EPS was EUR 1.77, up 19% versus Q3 last year. For the first 9 months, adjusted EPS was EUR 4.73, an increase of 7% versus last year. For the first 9 months of 2024, a free cash flow was EUR 196 million versus EUR 142 million last year. At the end of September of 2024, our net cash position was EUR 329 million. Turning to the next slide, you will see a snapshot of our 3 divisions performance for the third quarter, starting with Human Expression. Net sales were EUR 200 million, down 4.3% at constant currency, excluding Argentina. Challenging market trends and lower consumption negatively impacted the Back-to-School season in the Northern Hemisphere. However, we successfully gained share in declining markets in key geographies such as France and the U.S., fueled by the strong performance of our core segments like Ball Pen and Correction and the success of our iconic 4-Color Pen. In the Middle East and Africa, net sales grew double digits in Q3, driven by North Africa and a solid start to the Back-to-School season in South Africa. Lastly, Human Expression performance was negatively impacted by the underperformance of our Skin Creative and Digital Writing businesses. In Q3 2024, Human Expression adjusted EBIT margin declined by 180 basis points to 5.7% due to unfavorable fixed cost absorption, higher raw material and electricity costs as well as negative net sales operating leverage. This was partially offset by price and mix, lower operating and other expenses and lower brand support. On the center of the slide, you see our Flame For Life division's performance. Q3 net sales were EUR 192 million, up 0.7% at constant currency, excluding Argentina. This was mainly driven by the sequential improvement in our U.S. Lighter business. As Gonzalve mentioned, since the end of June, the U.S. lighter market decline stabilized. On a year-to-date basis, the market was down 5.1%. BIC continued to outperform the market in both volume and value. Our EZ Reach Lighter successfully gained 40 basis points during the quarter, reaching 6.4% market share in value in the U.S. In Europe, net sales growth was solid, driven by distribution gains, particularly in the discounters channel. In Latin America, growth came from our decorated lighters in Mexico and utility lighters in Brazil, in line with our strategy to lean towards a more value-driven model in our Flame for Life division. We also launched impactful digital campaigns which boosted distribution for our EZ Reach Lighter in Brazil. Since the beginning of the year, the adjusted EBIT margin for the Flame for Life division improved sequentially quarter after quarter. In Q3 2024, the adjusted EBIT margin was up 180 basis points year-on-year, reaching 35.9%. This was mainly driven by lower raw material costs and operating and other expenses, partially offset by unfavorable fixed cost absorption. Now turning to Blade Excellence. Q3 2024 net sales were EUR 142 million, up 6.4% at constant currency, excluding Argentina. Following the strong performance in the first half in Europe, net sales growth was once again solid in Q3. This was attributable to our strong value for money positioning in an inflationary environment, in addition to the success of added value products, such as our Hybrid Flex range. In the U.S., net sales performance was driven by solid execution with products in the men's segment, such as BIC Flex 5 and BIC Sensitive 3 performing well. Our innovative women's shaver, Soleil Escape was also a key contributor to growth in both the U.S. and Europe, where it's now launched in 6 countries and is supported by various digital campaigns. Lastly, in Latin America, net sales grew double digit, fueled by distribution gains as we pursued our trade-up strategy toward the 3 Blade segment in both Brazil and Mexico. In Q3 2024, Blade Excellence adjusted EBIT margin was strong at 28% versus 18.7% in Q3 of 2023. The margin was particularly high this quarter as gross profit margin drivers, such as positive pricing and mix, net sales operating leverage and OpEx all played favorably. Turning to Slide 8. Let's now review our consolidated financial results starting with Q3 2024 net sales evolution. On an as-reported basis, net sales for the third quarter of 2024 totaled EUR 540 million, down 3.7% versus last year. At constant currency, excluding Argentina, our net sales were up 0.2%. Currency fluctuations had a negative impact of minus 270 basis points and Argentina contributed minus 120 basis points. On an as-reported basis, net sales for the 9 months of 2024 totaled approximately EUR 1.7 billion, down 3.3% versus last year. At constant currency, excluding Argentina, our net sales were down 0.3%. Currency fluctuations had a negative impact of minus 210 basis points and Argentina contributed minus 90 basis points. Let us now take a closer look at our adjusted EBIT margin change versus the prior year for the third quarter of 2024 on Slide 9. Q3 2024 adjusted EBIT margin was 18.9%, an increase of 370 basis points versus last year. Q3 gross profit margin was flat at 52.7%. Favorable price and mix, lower raw material costs and manufacturing efficiencies were offset by unfavorable fixed cost absorption and currency fluctuation. OpEx and other expenses decreased by 280 basis points as we begin to see the impact of our cost savings initiatives that we started to implement in the second quarter. Brand support was lower by 100 basis points compared to last year when we had major advertising campaigns. Let us now take a closer look at our adjusted EBIT margin change versus the prior year for the 9 months of 2024. 9 months 2024 adjusted EBIT margin was 16.2%, up 120 basis points versus last year. Excluding the special bonus and the fair value adjustment of the PPA in France mentioned in the first half, 9-month gross profit margin increased by 40 basis points to 50.8%. This was driven by favorable price and mix, manufacturing efficiencies and currency fluctuations. This was partially offset by unfavorable fixed cost absorption and higher raw material costs, notably in the Flame for Life division in the first half of the year. OpEx and other expenses decreased by 50 basis points and brand support by 30 basis points year-to-date. On Slide 10, we have the key P&L elements. Adjusted EBIT for the 9 months of 2024 was EUR 272 million compared to EUR 260 million last year. Nonrecurring items for 9 months of 2024 were related to the special bonus, the fair value adjustment on the PPA in France and restructuring expenses. 9 months 2024 income before tax was EUR 257 million compared to EUR 252 million last year. Net income group share was EUR 185 million compared to EUR 181 million for the 9 months of 2023. Our adjusted EPS group share was EUR 4.73 compared to EUR 4.43 last year. Moving on to Slide 11, we see the main elements of working capital. Our inventory levels decreased by EUR 14 million compared to December of 2023. Leveraging our operational and financial discipline, we continue to drive inventory efficiencies, improving our inventory in days versus prior years, with an improvement of 13 days in September versus last year. We also sustained our working capital levels for receivables and days with DSO equaling 72 days. Trade and other payables increased by EUR 25 million from the end of the year, December. On Slide 12, we have our net cash evolution from December of 2023 to September 2024. We had strong operating cash flow, coupled with continued improvement in working capital as explained in the previous slide. Net cash was also impacted by investments in CapEx of EUR 57 million. This resulted in a strong free cash flow generation of EUR 196 million. During the 9 months of 2024, we paid EUR 178 million in dividends and bought back EUR 51 million in shares. This includes EUR 16 million of free shares for our long-term incentive plans. Lastly, our net cash position at the end of September 2024, was EUR 329 million. This concludes the review of our third quarter and 9 months 2024 consolidated results. With that, I'd like to hand it back over to Gonzalve.
Gonzalve Bich: Thank you, Chad. Our third quarter results speak for themselves and demonstrate our resilience and adaptability in navigating a challenging macroeconomic environment. As a result, the operational and financial discipline we've shown enables us to upgrade our margin outlook for 2024. We still expect full year net sales to grow low single digit at constant currency, excluding Argentina, but we are now expecting stronger profitability in 2024 with an adjusted EBIT margin approaching 15.5%. We will continue to drive EBIT expansion to deliver long-term profitable growth. We also remain on track to deliver free cash flow above EUR 220 million in 2024. To conclude, as a trusted and essential product company, our strong value for money positioning and the loyalty of our consumers empowers us to outperform our markets. I'm incredibly proud to be recognized as one of Times World's Best Brands of 2024 and ranked among the world's most trustworthy companies in 2024 by Newsweek and Statista. These acknowledgments reflect our long-standing and continued commitment to excellence. Looking ahead, we will continue leveraging the transformational capabilities developed over the last years under our Horizon plan, focusing on what we can control to deliver on our objectives of long-term profitable growth and solid cash generation. With that, Chad and I will now take your questions. Thank you.
Operator: [Operator Instructions] I don't see any questions coming through. [Operator Instructions] We will now take our first question from Cedric Rossi of Bryan Garnier. Please go ahead.
Cedric Rossi: [indiscernible] but given that you will probably achieve your initial '25 target with one year in ahead -- ahead of your plans, if we project ourselves into '25, what kind of margin trajectory we could expect? And what will be the main margin enhancer for next year? My second question is regarding your marketing strategy. So I heard Chad talking about the buzzy marketing activity last year. But still, you were able to gain market share while decreasing your brand support by 100 basis points. So I was curious to have your view on what is changing in your marketing strategy to -- are the marketing campaigns more effective or with better returns? So what kind of level of brand support we can expect in the medium term? And my third question is regarding to the Human Expression. So looking at the consensus expectation for the year, it implies a strong rebound in Q4. So I was curious to have your view on what kind of growth trajectory we can expect for Q4.
Chad Spooner: Cedric, thanks for your questions. I'll handle the first and the third and then hand it over to Gonzalve to talk about marketing strategy. So the first thing I want to clarify is our change in guidance is approaching 15.5%. So we have not indicated that we're hitting 15.5%, we said we'll be approaching it, right? So obviously, it's going north of 15%, but approaching 15.5%, so I just want to make sure that's very clear in terms of where we're guiding the approach. And the second thing is, obviously, we don't give 2025. We're not changing our targets for 2025 right now. If there's any refinement in anything for 2025 like normal, we would give that at our year-end in February. So that's your first question. Your third question was around Human Expression and the strong rebound that is expected per consensus. What I'd say is that when we look at Q4 and the drivers for Q4 overall, it's really going to be continued sequential improvement in North America in the fourth quarter, just like we've seen in the third quarter. And then for the rest of the group, we're going to see continued growth in the areas that we've seen it for the -- in the first 9 months. We've talked about 3 areas. We've talked about Brazil, Europe and Middle East and Africa being the really big growth drivers for the rest of the group. And Brazil, we'll have their Back-to-School, so you'll see that in Human Expression in the fourth quarter. And in Middle East, Africa, you'll see Back-to-School in South Africa. So those are the main elements of Human Expression in the fourth quarter that drive the growth there.
Gonzalve Bich: Cedric, let me take a step back to answer your question about brand support and give you a more holistic view of the evolution since we launched Horizon. Over the last few years, we've pivoted not only in how we design, develop and execute the programs to be more impactful to be closer to the consumer. And fairly a lot edgier, right? So Snoop and Martha was not something I think we would have thought about 5 or 6 years ago. As it comes to the cyclical levels of investment, those, as I've said many times before, are really predicated upon launch years and then consolidating years. In a launch year, when we're trying to build numerical weighted or both levels of distribution, we're probably going to upweight the percentage of spend to gain awareness. And then in the second year, you're consolidating that as you have the awareness and you're driving repeat and so on and so forth. Now category by category, that's really going to depend on the launch windows and how often we're launching big or small products, not to say that we don't have a maintenance program on all the brands at all times. But really the way you would want to think about it is what are the big launches that we have coming up, '25, '26, '27 and then you can start modeling maybe upweighted brand support. But otherwise, the steady state that we've had this year is probably a good way to think about it for the years to come.
Operator: [Operator Instructions] And we will now take our next question from Christophe Chaput of ODDO.
Christophe Chaput: Yes. I hope my line is great. I have 2 questions regarding the Shaver division. The first one is, can you make any comment on BIC Blade Tech? And does it, let's say, impact positively the adjusted EBIT margin, let's say, in Q3 or for the first 9 months of the year? And the second one is that you said that you benefited as well from an energy cost saving on the Shaver division in Greece. Would you, let's say, help us to quantify in Q3 or for the first 9 months of the year? And yes, the last one, sorry, on the Lighter division. Could you -- do you see a sign of stabilization of the market in U.S., which means that at the end of the day, could we have, by chance, let's say, a kind of flat or single-digit decrease, let's say, on the market in U.S.? Or do you think that it will decrease year-over-year, quarter-over-quarter by 5%, is that the magnitude that we see so far?
Chad Spooner: Thanks very much, Christophe. I will handle one and two, and then I'll hand it over to Gonzalve for the third question. So the first question you had was about Blade Excellence, and I think you were talking about the margin. BIC Blade-Tech was not a significant contributor to the margin for Q3. Let me just take a step back and give a bigger picture of that. Blade Excellence margin was particularly high this quarter, right? As we look at the gross profit margin drivers, net sales leverage and the OpEx, they all played favorably. But some of these things are actually due to, I'll call it, phasing of commercial promotion between the third quarter and the fourth quarter. So we're going to expect the fourth quarter margin to be much more in line with last year. And so I'm going to -- I've talked to everyone in the past before, and I'll do it again, and I'll do it in the future to think of the company in terms of half. And so as we think of the second half overall, we're going to see favorability in Blade Excellence margin from price and mix from the cost of production from our strong leverage of sales growth that we have and our lower brand support overall this year. And of course, we're seeing that we have less OpEx as we are across the company, and so we're benefiting from that. So those are the big things. Greece, we are seeing favorability in electricity costs, but that's not one of the major drivers of it for this period, okay? It's one of the factors, but not huge. But I wanted you to get a better construct that Blade Excellence margins will be more normalized when you think about it for the half. I think that probably answers both your first and your second question in one.
Gonzalve Bich: Cedric -- Christophe, your question on U.S. Lighter. So in the third quarter, what we saw was an improvement in the nonmeasured market. And that did have a positive impact on our performance. Now in the measured market, it's really stabilization of decline. So difficult first half, sequential improvement in Q3. We do expect to see some sequential improvement in Q4, but it's still a difficult challenging and soft market.
Christophe Chaput: Congratulations for the Q3.
Operator: [Operator Instructions] There were no further questions coming through. This concludes today's call. Thank you for your participation. You may now disconnect.